Operator: Good morning, and welcome to the Rexnord Third Quarter Fiscal 2018 Earnings Results Conference Call with Todd Adams, President and Chief Executive Officer; Mark Peterson, Senior Vice President and Chief Financial Officer; and Rob McCarthy, Vice President of Investor Relations for Rexnord. This call is being recorded and will be available on replay for a period of two weeks. The phone numbers for the replay can be found in the earnings release the company filed in an 8-K with the SEC yesterday, January 31st. At this time, for opening remarks and introductions, I'll turn the call over to Rob McCarthy.
Robert McCarthy: Thank you, Paula. Good morning, and welcome, everyone. Before we get started, I need to remind you that this call contains certain forward-looking statements that are subject to the Safe Harbor language contained in the press release that we issued yesterday afternoon as well as in our filings with the SEC. In addition, some comparisons will refer to non-GAAP measures. Our earnings release and SEC filings contain additional information about these non-GAAP measures, why we use them and why we believe they are helpful to investors, and contain reconciliations to the corresponding GAAP data. Consistent with prior quarters, we will speak to core growth, adjusted EBITDA, adjusted earnings per share, and free cash flow as we feel these non-GAAP metrics provide a better understanding of our operating results. However, these measures are not a substitute for GAAP data, and we urge you to review the GAAP information in our earnings release and 10-Q. Please note that the presentation of our operating results includes adjustments to GAAP reporting for the impact of the RHF non-core product line in our Water Management segment that we exited during our fiscal 2017 in order to enable investors to better understand and assess our continuing core operating results. Today's call will provide an update on our strategic execution, our overall core performance for the third quarter of our fiscal 2018, and our outlook for our full year fiscal 2018. We'll cover some specifics on our two platforms, followed by selected highlights from our financial statements and our cash flow. And afterwards, we will open up the call for your questions. With that, I'll turn the call over to Todd Adams, President and CEO of Rexnord.
Todd Adams: Thanks, Rob, and good morning, everyone. As you hopefully saw in our release last night, our third quarter results demonstrated the continued positive momentum across our businesses that started around this time last year. With our core growth increasing, the strong growth in adjusted EBITDA as a result of the structural cost reduction achieved with our Supply Chain Optimization and Footprint Repositioning initiatives that we wrapped up earlier this year. We continue to see improving end market demand across most of our served end markets, and we're seeing more evidence every month that the strategic growth initiatives that we've been driving are delivering real value to customers and better core growth in our business. With just one more quarter to go in our fiscal year, we're comfortable taking up our outlook for both core growth and EBITDA, and we'll cover that in a few minutes. Today, I'm going to quickly go through some examples of the few recent wins driven from growth investments we've been making. Then I'll pivot to review the pending acquisition of Centa and its strong strategic fit within our PMC platform. There's a lot to discuss, and we'll try to move through our prepared remarks quickly so we can address your questions. Our third quarter sales of $492 million included core growth of 6%, and we're at the higher end of our expectations for the quarter. Core growth accelerated sequentially in both PMC and Water Management, and profit margins fully reflected the benefits of our structural cost reductions, as well as solid operational execution. Our adjusted EBITDA increased 20% year-over-year to $95 million. Consolidated EBITDA margin expanded 170 basis points and our incremental margin and year-over-year core growth exceeded 45%. Adjusted EPS was $0. 37 for the quarter, including a $0.05 contribution from a lower than projected tax rate. Mark will review the performance of each platform in our consolidated financial results, as well as the impact of US corporate tax reform as part of his comments a little later in the call. Turning to slide 3, looking at our platforms. PMC had a strong quarter, with order and revenue growth across most major end market verticals, including another quarter of higher stability or growth in most of our key process industry end markets, like mining and energy. Not to sound like a broken record, but our first fit strategy, and investments in product innovation and commercial excellence continue to gain momentum. And we continue to win important new OEM and end-user specifications, which is critical to both our near term growth and our long-term market share, as our products wear and used and our serviced and/or replaced multiple times over the life of the customer's application. PMC's adjusted EBITDA margin improved 190 basis points year-over-year to 22.5%, as core growth increased 6%. We see significant ongoing margin runway for PMC, post the completion of our initial SCOFR initiatives. And as we've said throughout the year, we have a follow-up set of opportunities to further improve our long-term cost structure and profitability, and we expect to have more to say about that when we report our results next quarter. We grew the Water Management platform 12% in the quarter, inclusive of 3 points of growth from the World Dryer acquisition and 7% on a core basis, with Zurn leading the way. As we've been winning a significant number of new opportunities and as our new product pipeline begins to have a more measurable impact. We see the non-residential construction market that's healthy and support of growth as we move into the 2018 construction season in North America, and we expect to finish this fiscal year with another quarter of good growth in water. Water Management adjusted EBITDA margins increased by 100 basis points year-over-year to 18. 6% as we leverage our topline growth and the ongoing benefits of our past SCOFR actions with solid execution, which together, more than offset higher investments in innovation and market expansion. Moving to slide 4. This slide highlights some of the recent wins that illustrate the positive impact of our new product pipeline and our increased commercial focus across both of our platforms. At the top left, we're highlighting Zurn's recent success in winning specifications for essentially all of the specified plumbing content with the Chase Center, the new home of the Golden State Warriors that's currently under construction in San Francisco. This is a big win in terms of revenue potential and illustrates the value of having the industry's broadest product portfolio and our ability to simplify the architect's and contractor's workflow. The main reason that I am highlighting this is because the architect that has the overall project responsibility has also specified our new line of Sundara handwashing stations. You can see an example of that on the slide. As we discussed in the past, Sundara represents an expansion to $150 million product adjacency for Zurn, basically white space. With a high level of design content, with product performance characteristics that address specific market opportunities that were highlighted and identified through our rigorous voice of the customer process. These high profile specification win with a major architectural firm will amplify our marketing efforts as Zurn continues to introduce Sundara to other building owners and architects. Moving to the top right, we have recently won a large order that includes multiple units of our Smart Gear drives for one of the largest US producers of paper and phorous products. As we discussed the last couple of quarters, the launch of our DiRXN digital productivity platform and our initial offering of IIoT-enabled connected products is being very well received by our OEM and end user customer base. And the ability to provide real time operating data to the customer's plant control systems was a key factor in winning the gear drive specification for this application. I'll also highlight that the win comes in substantial premium to a non-enabled product, demonstrating the value to our customers place on improving their productivity, reliability and uptime. Regarding DiRXN, let me just take a minute for a quick update on the additional progress we've made in our third quarter. We're closing in on having online configurators in place for virtually 100% of configurable PMC products. And we've now shipped over 100, 000 individual PMC products to smart techs and we've started tagging the 50 highest volume product families at Zurn. We're seeing follow-up RFQs from initial buyers of our connected gear drives. And we're seeing terrific feedback in our e-commerce capabilities through our monthly customer surveys - customer satisfaction surveys. Plus we've initiated the first field test of digitally-connected Zurn products. Turning to the other two wins highlighted on this slide, you will see there are both with major food producers and represent key breakthroughs for our Cambridge metal mesh belting product line, the acquisition we completed in mid-2016. First, we've successfully broken in with one of the world's largest packaged food producers, one with a long-term relationship with one of Cambridge's key competitors and represents a beachhead and we're confident we can expand in the coming quarters. Second, we've leveraged another new product introduction in 2017 into a major specification win in the market for spiral conveyors. The technical challenge besides making a metal belt that can reliably transition from scrape to curved sections and back again was to create an edge-driven spiral belt with a tight measure overlay that can handle the most delicate food products in extreme freezing or baking applications with minimal product marking and while eliminating the most common cause of catastrophic failures in spiral conveyor systems. Similar to the Sundara specification for the Chase Center, we believe this large spec win could influence spiral conveyor design and technology decisions for other end users in the food industry. So there, our four examples of our focus on solving customer's application issues and delivering real value to product innovation can translate into key specification wins and meaningful new business. To wrap up my comments on our third quarter, we are definitely feeling better about the progress we've made on the organic initiatives we've been driving over the past couple of years. We're seeing the benefits from significant cost reductions from SCOFR 1 and growth coming from the investments we're making in new products, innovation and commercial excellence. Other things said, we think there's clearly a lot more we can do in all of those areas and we think the continued balance of driving significant cost reductions to invest in growth and improve margins, positions us well in all economic environments. Fortunately, it appears that at least for the time being, reasonable end market growth should provide a decent backdrop to incrementally leverage the organic initiatives we've executed and those we planned to execute moving forward. The global growth environment has clearly improved from where it's been the past several years and despite some challenges along the way, we're pleased to be on track to deliver the higher end of our regional earnings guidance for the year. Before I turn the call over to Mark, please turn to slide 5, so I can provide a preliminary overview of our pending acquisition of Centa. In early January, we announced that we have signed an agreement to acquire Centa and that we'd expected to close the transaction in our fourth quarter. Centa has been on our list of strategic targets for a long time going back at least a decade. Centa produces flexible portional couplings that are used in most demanding engine-driven applications and thus fills a strategic gap between our comprehensive offering of couplings for motor-driven applications and our Euroflex line of couplings for turbine-driven applications. Highly flexible couplings and shafts are specifically designed to handle the higher and more variable migration levels inherent in high octane engine-driven applications. We are excited about the acquisition from several perspectives. Centa brings a leading market position with competitive scale, a large installed base and long track record of product innovation and secure customer service. As with many of our other Power Transmission product lines, relatively more stable MRO demand accounts for the largest share of Centa's sales and benefits from higher rates of like-for-like replacement. Centa will expand our capabilities in certain industrial applications that are very familiar to us, like gas compression, pumping, PowerGen and wind energy. Another important Centa applications like mobile hydraulic equipment and marine represent end markets where our historical presence has been quite limited, which means that Centa will add to the broad diversification of PMC's end market exposures and create new sales opportunities in other PMC product lines. As you can see at the bottom of this slide, we provided a graphic to help you understand how Centa's flexible coupling fits into some representative engine driven applications. We're also convinced that we can strengthen Centa's competitive differentiation and value proposition with our DiRXN customer productivity platform. In addition to new growth avenues, Centa brings to our PMC platform, we also see substantial opportunities to enhance Centa's profitability as we introduce DiRXN to our business system and provide additional commercial and operational resources. We'll provide additional details around the composition of Centa's sales and profitability, and more specific comments around our short and long-term expectations for the business once we've closed the transaction. For the time being, I'll just reiterate, we're very excited to add Centa to the Rexnord family, and that we're convinced that the acquisition will enable us to create and deliver significant incremental shareholder value. One final comment: with the acquisition of Centa closed on our fourth quarter, I'll point out the that the combination of purchase price multiple and our expected free cash flow in the quarter will allow us to be leverage neutral from where we are today, with further delevering, accelerating into FY '19. Now I'll turn the call over to Mark.
Mark Peterson: Thanks, Todd. Please turn to slide number 6. On a consolidated basis, our third quarter core sales increased 6% on a year-over-year basis. Our adjusted EBITDA increased 20% from the prior year third quarter to $95 million and our adjusted earnings per share was $0.37. Our effective tax rate when calculating our third quarter adjusted net income is approximately 22%, and added about $0.05 to our adjusted earnings per share when compared with our tax rate expectations entering the quarter. The lower rate we experienced in the quarter is a function of the rate benefit from U.S. tax reform, as well as the timing of recording certain discrete tax benefits. I'll speak to U.S. tax reform in a couple of minutes. As Todd indicated earlier, we are increasing our financial outlook for fiscal '18. After a solid third quarter and given our favorable outlook for our fourth quarter, we're slightly increasing our outlook for core growth in fiscal '18 to a mid-single digit percentage from our previous outlook for low to mid-single digit growth. As we balance having only one more quarter in the current fiscal year, with the fact that our fourth quarter is historically our largest quarter. To ensure that market expectations don't run ahead of what we expect to deliver, I want to be clear that we currently expect our full year core growth to finish in the lower half of the mid-single digit range. Having said that, we were also adjusting our outlook for adjusted EBITDA to be in the range of $381 million to $387 million, which reflects ongoing order growth, our solid operational execution and incorporates a couple of million dollars of upside from stronger than expected currency translation. The $384 million mid-point is $4 million above the mid-point of our previous guidance and that does not include any impact from the pending Centa acquisition. The revised range reflects that fiscal '18 year-over-year growth and our adjusted EBITDA will be at least 10% above the comparable $347 million we delivered in our fiscal '17. Slide 7 summarizes our consolidated results in the quarter, which Todd has addressed. So let's move on to slide 8 and discuss the first of our two operating platforms, Process & Motion Control. Total sales increased 8% year-over-year in PMC, as core sales growth increased to 6% in the quarter and favorable currency translation added about 2%. PMC again experienced growth in a majority of its end markets during the quarter and benefited from the ongoing although somewhat uneven recovery in our process industry end markets. Global distribution revenue increased by a mid-single-digit on a core basis, as North American distributor core growth increased sequentially and our distributor sell-through in the quarter improved to a low-single-digit range. In the top right corner of the slide, you can see that end market assumptions that support the outlook for mid-single-digit core sales growth in PMC that is now incorporated into our fiscal '18 guidance. We changed the stoplights to green from yellow for U.S. and Canada distribution and for global process industries as we've seen demand improving and expect to see growth in both areas in our fourth quarter. We expect to finish the year with a low-single-digit growth in our aerospace end market and a range of generally higher core growth rate with our OEM and end-user customers in many of our consumer facing and process industry end markets. With respect to profitability, PMC's adjusted EBITDA increased by 18% year-over-year and margin expanded by about 190 basis points. The significant year-over-year margin expansion reflects both solid execution in our core growth and the full impact of our supply chain optimization and footprint repositioning initiatives that are completed in our second quarter. On a sequential basis, PMC net sales declined seasonally in our December quarter by about $8 million but adjusted EBITDA increased by almost $4 million. As I stated earlier, the impact of the weaker dollar and our financial results is running a little ahead of our earlier expectations, which tends to dilute our margins slightly and is expected to hold PMC's full year margin expansion to about 100 basis points. Despite that, we expect strong quarter incremental margin during our fourth quarter and PMC's adjusted EBITDA margin is expected to increase by approximately 100 basis points year-over-year in the fourth quarter. Let me turn to our management platform summarized on slide 9, please recall we've been excluding the financial impact of the RHF's non-strategic product line we exited during fiscal 2017 from the calculation of the core growth and adjusted earnings metrics in order to provide enhanced comparability with our core operating results in fiscal 2018. We intend to slight minor in third quarter and will be negligible in our upcoming fourth quarter as we full anniversary the exit. During our third quarter, our Water Management platform delivered a 12% net sales increase that was consistent within our expectations and was a result of 7% year-over-year core sales growth, a 3% contribution from our acquisition of World Dryer in early October and a 2% contribution from foreign currency translation. Our top line results benefited from fairly balanced year-over-year growth across our primary end markets. Core sales growth in Zurn, most of it plumbing products accelerated in the mid-single-digit range in our third quarter as new product introductions added to the ongoing growth we have seen in Zurn's non-residential building construction end markets. For example, we've seen a very positive reaction to our new line of larger diameter text piping for non-residential applications that was launched earlier this fiscal year. This proprietary new product delivers a best-in-class performance once installed, while getting contractors the work set flexibility to join the pipe of either the Zurn expansion fittings or traditional print systems. Contractors like the flexibility, they like being able to leverage the efficiency of sourcing more of their requirements from the one supplier that offers the industry's broadest portfolio of water saving and installation timesaving products. As we look ahead, we expect the U.S. non-residential building construction market to sustain positive growth in the coming 2018 construction season and we're excited for developing relatively the strength in institutional verticals. As we've highlighted before, institutional verticals like healthcare and education, typically involve higher investment in plumbing per square foot of construction and our competitive position is quite good. As you can see in the top right of Slide 9, our end market outlook is unchanged and continue to incorporate a mixed new outlook for Water & Wastewater Infrastructure and markets. We expect to deliver another quarter of core growth in our fourth quarter, supporting our expectations from the overall Water Management platform to deliver mid-single digit core growth for the full year. The year-over-year increase in Water Management's EBITDA margins was consistent with our expectations and reflected the core growth during the quarter leveraged by our ongoing cost reduction and productivity initiatives to offset our sustained investment spending. Given the slightly higher expected impact of currency translation, we expect the Water Management margin to expand by just under 100 basis points in our fiscal 2018 while continuing to increase year-over-year in our fourth quarter. Moving on to Slide 10, you can see in the chart at the top left that our financial leverage as measured by our net debt leverage ratio has declined to 2.8 times. Based on our fourth quarter outlook and assuming the Centa acquisition closes this quarter. As we expect, we would finish the year with our net debt leverage ratio unchanged at approximately 2.8 times. In the chart, top right you can see we finished our third quarter with year-to-date free cash flow of $97 million which includes an approximate $15 million outflow related to our defined SCOFR activities, which was mostly comprised of cash severance payments. We continue to project our free cash flow to exceed our net income and meet a roughly $175 million range for the full year. Next, I'd like to comment on our restructuring expenses and our effective tax rate then we'll make up comments in the impact of the U.S. tax reform. First, in terms of our cost-reduction initiatives, we expect to report total restructuring expenses of $13 million to $15 million in our fiscal 2018 which is unchanged from our previous outlook. These costs are primarily made up of severance costs and are excluded from our adjusted operating results. Next, our effective tax rate can fluctuate by quarter, given the very level of pretax income as well as the timing of other planning initiatives. In our third quarter, and due to our March '18 fiscal year-end, under U.S. tax reform, we were required to recognize a year-to-date impact of a lower U.S. corporate tax rate on our overall fiscal 2018 financial results. As a result, and reflecting our expectations that our fourth quarter adjusted net income will include an effective tax rate of around 35% we now expect our full year fiscal 2018 adjusted net income to incorporate an effective tax rate of approximately 30%. So discussing the puts and takes in the effective tax rate between our third and fourth quarter, the reduction in the full year rate from our previous outlook of 32% is primarily the benefit from the lower U.S. effective tax rate. The biggest impact of U.S. tax reform on our third quarter GAAP financial results was a $55 million non-cash and non-recurring tax benefit that is excluded from our adjusted net income and reflects the impact of adjusting our net deferred tax liability from the new U.S. federal tax rate. Partially offset with a onetime tax expense associated with the impact of the BIM repatriated earnings from our non-U.S. subsidiaries. Before we open up the call for your questions, I'd like to share initial thoughts on how the recently enacted changes in U.S. tax rate will impact Rexnord. I'd like to stress that our analysis is ongoing and my remarks should be considered preliminary. In terms of the effective tax rate that we estimate will apply to our adjusted net income in our upcoming fiscal year which is our fiscal 2019 our best estimates is currently 28% to 29%. While U.S. tax reform headlines focus on the meaningful reduction in the U.S. federal rate, there are some moving pieces going in the other direction, the largest being the repeal the domestic production activities deduction. With respect to our cash tax rate, we've been in low 40s as a percentage of our pre-tax income and while we anticipate that rate for being the high 30s to low 40s in our fiscal 2019, due to some timing puts and takes between fiscal 2018 and fiscal 2019, we would expect our cash tax to drop below 30s as a percentage of pre-tax income as we look ahead to our fiscal 2020 and beyond. Let me remind you that my comments are based from our current best estimate of the impacts of the U. S. tax reform. As we continue to refine our estimates for the size of the positive impacts on Rexnord's earnings and cash flow, we anticipate being able to provide more specific tax rate guidance in mid-May, when we provide our initial financial guidance for our fiscal 2019. We are, of course, optimistic that we'll see some degree of acceleration in capital project approvals and the related component order activity across our end markets but deploying capital requires operational, as well as financial resources, and we would expect the benefits in terms of new orders and incremental revenue from merge over multiple quarters. One thing is clear, however, a structural increase in free cash flow will further strengthen our financial flexibility and will enhance our ability to execute our disciplined bolt-on acquisition strategy while maintaining Rexnord's net debt leverage ratio below 3 times. Turning to the 6 slides in the appendix, first, we have included the other assumptions incorporated into our guidance for fiscal 2018 in a separate slide, as you've come to expect. I need to remind you that our guidance excludes the impact of potential acquisitions and divestitures and future nonrecurring items, such as restructuring costs. In today's case, that specifically means the impact of the Centa acquisition is not included in our guidance. Second, and for your convenience, we've included a table that provides some specific after-tax impact of each individual adjustment we have made in our calculation of adjusted net income. Third, we've attached a reference table to help you determine the appropriate incremental quarterly share count to use for modeling our diluted earnings per share under the if-converted method, if it is applicable. And as you are aware, and as also on slide 15, the if-converted method was slightly dilutive to our adjusted EPS and that supplies to our third quarter results. Lastly, we include the reconciliation tables related to adjusted EBITDA and adjusted earnings per share that are also included in our earnings release each quarter. With that, we'll open the call up for your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Jeff Hammond from KeyBanc Capital Markets. Please go ahead.
Jeff Hammond: Hey, good morning, guys.
Todd Adams: Good morning, Jeff.
Mark Peterson: Good morning, Jeff.
Jeff Hammond: So just on Centa, can you just talk about margin structure or multiple paid? And then where you see some synergy opportunities early on?
Mark Peterson: Sure. The purchase price is €118.5 million. The purchase price paid on a multiple basis is high single-digit, and we clearly think, with the synergies that we've got, I think really good line of sight, so we think we hunted for sort of mid-single digits within 2 to 3 years. We'll give you more details as we ultimately get closed for obvious reasons, but it's one of those that we'll pencil based on a cost synergy point of view versus any sort of growth. I think the growth will be there with DiRXN integrating into what we think is already the best coupling business in the world. So we are excited about it. It's a super fit for us and highly synergistic because I think you'll see in here after we get it closed and talk about it next quarter.
Jeff Hammond: That sounds like a great deal. And then it sounds like VAG still maybe lagging, we're seeing better growth - global growth. Can you just talk about what you're hearing from your customers quoting activity, maybe expectations for some of that Middle East deferral delays to kind of shake out over the next year?
Mark Peterson: Yes, I mean, I wouldn't assume that it's lagging. I think that the growth in the quarter was good. We continue to build some backlog. I think from a Middle East standpoint, I think it's still - it hasn't converted much to quarters at this point, but it's clearly far more stable. I think you have seen the region improve. You've seen improvements in Saudi and other places. So I would say that it's incrementally probably a little bit better than it was 12 months ago, 6 months ago. It hasn't really converted into any massive growth at this point. But I wouldn't assume that it's a drag at this point either.
Jeff Hammond: Okay.
Operator: And our next question comes from Joe O'Dea from Vertical Research. Please go ahead.
Joe O'Dea: Hi. Good morning.
Todd Adams: Good morning, Joe.
Joe O'Dea: Looking at now calling for mid single versus low to mid previously on organic and then thinking about the setup into 4Q, and it looks like representative of a stronger outlook for underlying demand in 4Q versus what you would have seen in the first three quarters of the year. But could you speak a little bit to that at kind of a segment level within PMC, anything in particular that you called out, whether it's end user OEM or whether a little bit better distributor stocking? And then also what you might be seeing a little bit detail on the Water Management side?
Mark Peterson: Yes, Joe, this is Mark. I think you are right. If you go back 12 months, our outlook for our fourth quarter result for PMC is better than it was even 90 to 180 days ago. We've always felt going into this quarter, we do need a tougher comp, and again look at a stack margin throughout the year, the best stack margin will be our fourth quarter. But if you look at what's really - I said the margin, I meant core growth - the stack core growth, not stack margin, stack core growth, it will be our strongest quarter. So last year, we wanted basically flat core growth. This year requires something that low mid-single-digit range for the quarter. As we kind of said earlier on our comments, we've seen the distribution sell-through modestly improving this past quarter. We haven't seen a lot of change in the stacking levels. And still that could be an opportunity for next year, but we think, you know, we've seen the sales improve from low-single-digits level to be a catalyst in our fourth quarter from where things - we though things were 90 days ago. And overall our general end market demand within our consumer end markets and our profits in the end market has remained stable for us, and in some cases, has couple better. So those are the kind of things that will give us a little more conviction going to the fourth quarter about some better growth rates with PMC. From a water standpoint, water is kind of as we expected. We anticipated solid mid-single-digit growth in the back half the year. You saw that in our third quarter a little bit better than that. In the fourth quarter we expect to be in that solid mid-single-digit range. So on the biggest challenge to your point, we're not really haven't seen PMC we've got a little more conviction on the growth in PMC in our fourth quarter now.
Joe O'Dea: That's helpful. Thank you. And then just thinking about free cash flow and kind of the rough $175 million in fiscal 2018, could you outline some of the moving pieces that we have moving into fiscal 2019 to think about what that $175 million would reset to, independent of anything on the organic front? And I guess you really can't talk to the Centa at this point but SCOFR costs and just expense coming down tax should be a little bit lower. What that $175 million resets do before you even get growth?
Mark Peterson: Sure. Yeah. So talking to prior quarters we've talked about next year fiscal 2019 and beyond I mean the year starts we are in that $200 million range or a little better than that going forward. So you think about moving pieces clearly the restructuring cash - restructuring costs with SCOFR 1 would go away. We've talked about an incremental tax we've been paying for the past several years we went into a deferred gain on that five years ago that moderates next year goes away in 2020. We will see better debt refinancing. Our cash interest will decline. We'll see some benefit from the overall cash tax rate not as much we expected there is moving pieces between this year and next year that you will give it a little bit. Those are the things on the positive side. So I think right now, it's little dangerous to say we still have much conviction as we ever had around our $200-plus million type free cash flow run rate starting next year for us going forward.
Joe O'Dea: Got it. Thank you.
Operator: Our next question comes from Charley Brady from SunTrust Robinson. Please go ahead.
Charley Brady: Hey. Thanks, guys. Good morning, guys.
Todd Adams: Good morning, Brady.
Charley Brady: Just Todd the comments you mentioned in your prepared remarks on PMC margin. I guess the comment you see a strong runway or long runway to margin improvement on that business. Obviously, kind of what you have been seeing for a while. But I wonder if you could just may be flesh out a little bit more on a longer-term basis kind of where you see margin going as you had the SCOFR business done now and you are seeing the benefits that come through, has your thinking on where that margin can go to change over the past 6, 12 months?
Todd Adams: I don't think so, Charley. I think we've already sort of pointed to the sort of 24% to 26% range as being where we think we can drive it to in its current sort of form. I think nothing is changed there. I think you saw a nice incremental margin in the quarter greater than 50% on a year-over-year growth. And you'll see a nice margin, again, in our fourth quarter. And so we sort of alluded to I think the setup heading into fiscal 2019 includes probably a little bit better growth probably a little more cost reduction as we head into a growth environment. And then when you add Centa into the mix that's another business that you think - that we think can migrate into that range. It's clearly well below that at this point. But if you think about what we could ultimately end up with is $1 billion-plus platform, with very, very strong margins, very low CapEx very high free cash flow. And if you look at where the portfolio is now shifted, much more stable growth in whatever environment without losing any of the, I would say, legacy installed base that we have in process industry. So I think we are sort of playing a little bit of a long game here to get this. But this is going to be a premier industrial segment and we are very confident that nothing's really changed.
Charley Brady: Okay good to hear. Just one more, I know its early days of tax reform, but I'm just wondering from a customer standpoint, clearly a lot of cash is being released from this. We are hearing other companies' more optimistic line, spending by customers as it comes in. I'm just wondering on the PMC business, specifically, are you hearing anything from customers to where maybe spending expectations or kind retching up - hubs to your equipment goes into a lot of other equipment and larger systems?
Todd Adams: Look, I think I would say that it's largely anecdotal at this point, Charley, versus giving you a firm number. I think that the inquiry rates, the sales funnels all included, a lot of projects that I think we clearly didn't see on the table, two years ago. So there is that - there's a lot more optimism. I think there is a lot more inquiry. I think we are hoping and optimistic that, that translates to orders and shipments over the course of the next year-or-so, but it's more anecdotal than I can tell you that there's been $15 million or $20 million spend as a result of tax reform. I can't really get you that number. But there's clearly more optimism, and we are seeing it show up in our sales levels.
Charley Brady: Yes, I guess what I was trying to get - I'm not looking for a specific number, obviously it's too hard to do that. But your guidance, your core growth guidance, I know you can get it for 2019, but you are not really baking in that, right? Obviously, it's all anecdotally, haven't seen it come through yet, if it were to accelerate, then that would be incremental to kind of where you thinking today?
Todd Adams: Absolutely. We have not - we are sort of rounding home here in our fiscal 2018 and looking at 2019. We haven't really baked in any significant bump as a result of the increase in spending from tax reform. We have not done that. I doubt we'll be in a position to really do that when we announce guidance. But clearly, if you marry that with a good macro, decent backdrop, very constructive on non-spending on the tax fund with a reasonable starting point, it should set us up for a really nice fiscal 2019.
Charley Brady: Yeah, thanks.
Operator: Our next question comes from Jim Giannakouros from Oppenheimer. Please go ahead.
Jim Giannakouros: Hey, good morning, Todd, Mark and Rob.
Todd Adams: Good morning.
Mark Peterson: Good morning.
Jim Giannakouros: Question on Zurn, specifically, seems to be humming along nicely, mid-single digits growth that you cited. I think overall, non-res building forecast call for 4% or so growth this calendar year and next, you mentioned new products, but where geographically or by vertical within that are you seeing greater demand or opportunities for share gains?
Mark Peterson: You know we see - as we talk about for a while, the way that the non-res recovery has worked, started off with, obviously, res followed by some commercial and then they're now sort of migrating to institutional. And as we look at our Zurn business, that's really our sweet spot. So I would say we're starting to see at the very early stages of the institutional market beginning to perform. We know if you think about the 300-bed hospital, we think about - a 12-floor dormitory, things that have a lot of content per square foot, that's what we are starting to see. And you're seeing it all over the country, whether it's - in the Midwest or it the West. Most regions are generally healthier than they've been in a while. And so inquiry rates are up, project backlogs are relatively high, and you marry that with a nice dose of new products and solutions that we have been bringing to market, we are pretty optimistic that the 4% market growth, we'll be able to outperform that.
Jim Giannakouros: Yes, and it's been a - an organic story for you. Are there - are you working M&A opportunities there? Or should we be thinking that your M&A is really going to be focused on augmenting PMC?
Mark Peterson: I think it's going to be both, Jim. We did the World Dry acquisition back in October, so the industrial logic is how do we come in and essentially own the commercial restroom if we are for all applications. So there is more we can do, it's still fragmented there's bits and pieces we can pick up and we think really build even more sustainable competitive advantage in a bigger mold. And there are some geographies we can do it in. So your initial comment that Zurn is humming along, I think that's correct. We see the market being pretty good and constructive and we're happy with the progress we're making internally, and obviously, the M&A story is smaller today but I wouldn't rule it out.
Jim Giannakouros: Got it. Thank you. And one more on Water Management for me, just switching over to VAG. Just curious if I'm thinking about the plans there correctly, feels like it's been deemphasized here in the U.S. Is that the case? Or you're still committed to building that brand here and leverage what is apparently a very healthy organic backdrop in the U.S., specifically?
Mark Peterson: Yes, I mean, look, we are still in the U.S. We're still winning and frankly doing quite well. I think the technology and innovation that we are sort of bringing from the European markets to the U.S. is having a positive impact on our growth. The issue is we are starting from a very small base. And so that it's going to take a long time, but we are happy with the success. I don't see we're deemphasizing it in any way, but it's going to take a while until it rises to the point we are going to talk to and then sort of point it out as a meaningful growth lever.
Jim Giannakouros: Got it. Thank you.
Operator: Our next question is from Mig Dobre from Baird. Please go ahead.
Mig Dobre: Yes. Good morning. So sticking with Water Management, can you maybe help break out growth in the quarter between infrastructure and Zurn? And maybe also comment as to how that plays into your full year outlook?
Todd Adams: Mig, its Todd. There wasn't any meaningful difference in the numbers of the growth between the two parts of Water Management.
Mig Dobre: And that is still works for the full year, to?
Mark Peterson: Core growth - Mig, this is Mark. Core growth we think in our third quarter down to mid to, fourth quarter we're expecting mid-single digits, and I think that's a relatively balanced in between our Zurn end markets and our VAG end markets for the fourth quarter.
Todd Adams: Mig, I guess maybe just to clarify, the core growth in the quarter I think was embedded in our outlook, would not include any sort of significant outsized growth in the Water Infrastructure part of the business that will drive the total out. I mean it's a solid performance by the Zurn business and I would say sort of in line with what we would have expected for the Water Infrastructure side. So both very positive contributing to the overall growth.
Mig Dobre: Got it. I was just wondering because infrastructure is a little lumpier, that's why I was asking the question.
Todd Adams: Yes, totally understood.
Mig Dobre: Then in terms of margin, again, on your fiscal 2018 outlook, it's fair to assume that you're still expecting 100 basis points of expansion in both segments, again for the full year?
Mark Peterson: That is correct. Yes. It's the 100 basis points in both segments. Correct.
Mig Dobre: Okay. And the corporate expense line item, is that still expected to be around $33 million?
Mark Peterson: That seems a little higher, Mig. I mean in the fourth quarter there's going to be some professional fees that we know we'll be incurring just one higher probably closer to call it $34 million to $35 million range for the full year.
Mig Dobre: Okay. And how do you think about this line item going forward? Can this stay stable? Or are you going to have some kind of inflation going forward?
Mark Peterson: Stable. It will be stable yeah as next year we are keeping that $34 million $35 million range. That's the fair place to be.
Mig Dobre: Okay, very helpful. And then last question for me, you know, Mark, I'm a little bit puzzled about your tax rate both the P&L and the cash tax. And maybe you can help me understand this. But what I'm thinking about the domestic production incentive I understand that you're losing that, but it seems to me that it's somewhat as if this is an added set of expense if you would within your tax structure rather than simply a benefit that goes away. So I am sure I'm missing something here, but maybe help me understand as to why we're looking at 28, 29 which essentially is maybe a little bit higher than what you have been paying in the last few years?
Mark Peterson: Well this year we are investing 32 and in that number, there are some discrete items that we're going to rate down. You take all the discrete items Mig our rate is in that 33% to 34% range. Now it's always been discrete that putting item that when I think 28% and 29% next year there's going to be discrete items next year, but we'll just haven't called out yet. If you look at the base rates, our 33% to 34% range is going to 28% to 29%.
Mig Dobre: Okay, fair enough. I guess I'm just wondering why we are not - most of the company's I am talking to are talking 25%-ish right and they are dealing with the same circumstances.
Mark Peterson: Well what was their starting point? Were they starting 30% or 31% or 29%?
Todd Adams: Well, can I just make an observation? I don't know that this is something that can be solved by a conference call. I would suspect that we're giving you Mig what we think is our best shot at this point. Obviously, all the facts and circumstances are under a year our income is generated and planning obviously are going to be different company to company. The good thing is our taxes are going to go down next year. Our cash taxes are going to go down. And more significantly as we look at 2019 and 2020 a significant headwind on a cash tax basis to the tune of $15 million a year is going to go away. And so it's all it's net-net, it's a bit positive for us. And I think it's going to show up in the results. I am not confident Mig that we can take you through the specific details of where we are. But I don't know that we can sort of talk through all that effectively on the call.
Mig Dobre: Well. Fair enough. Thank you.
Operator: Our next question comes from Karen Lau from Deutsche Bank. Please go ahead.
Karen Lau: Hi. Thanks good morning everyone.
Todd Adams: Good morning, Karen.
Karen Lau: So Todd, I think fiscal 2018 you had a heavier level of investment with DiRXN launch and so forth. Can you help us kind of frame how we should think about the level of investments going into next year sort of in the context of normal incremental margins?
Todd Adams: Karen, again, I think what we try to do if you move back a year or two is take significant actions while things were a little bit tough and creating the capacity for us to invest in growth. As we head into what we think will likely be a better growth environment we are going to continue to take cost out of the business so that we can invest in growth. And we think that so from an incremental investment standpoint, we're going to keep investing at the same rate, perhaps more. I don't think it's going to manifest itself at any sort of change and the way to think about incremental margins because we're really going to do both, right. We are going to leverage the business system and the things that we're doing to take cost out and take wastes out. And convert a significant amount of that back into growth investment but at the platform level. We are not really going to change the outlook for what the incremental margins are going to be as a result. So I think net-net, it's creating a better business. And we're starting to see very early stages of that.
Karen Lau: Yes, for sure. I was just curious whether we should assume that core, call it like 33% to 35% incrementals to continue, but in terms of the savings you get from SCOFR or the next SCOFR next year, should we kind of dampen that savings runway a little bit to take into account some of the incremental investments that you want to do? There's, obviously, a lot going on with DiRXN, right? There's more you want to do there?
Todd Adams: Yes.
Karen Lau: Is that the way we should...
Todd Adams: We announced…
Karen Lau: Sorry, go ahead.
Todd Adams: So, I guess, what I am highlighting is we're guiding to those 35% incrementals. You can continue to think about the incrementals as that number into next year with the same level of investment. I think we'll probably, as we said, we are going to have to do some cost reductions to ensure that we can deliver those sort of incrementals to invest in things like DiRXN. And, so we're going to do both. Which I think is sort of the message that hopefully we are may be articulating, which is absolutely, we are going to continue to invest in these growth initiatives. You can see some of the examples we've talked about. We've been able to bring what we think is a game changer from a digital productivity platform to market next year. It's going to be a lot of products, bringing more and more connected products to market quickly, and building a competitive advantage there, and so we are going to invest in that but the incremental margin assumption that you got is good even with that impact.
Karen Lau: Okay. Got it. Great. And then just a follow-up on the comment on M&A that you made earlier. So sounds like there's more to do on the Zurn side, maybe on geographic expansion and then you, obviously, did Centa at PMC. Is there anything more meaningful that you would do on the Water Infrastructure side? Or is the kind the rebuilding process in North America that you alluded to earlier that's more of an organic process?
Todd Adams: Yes. We are not going to invest in M&A on the Water Infrastructure side of our business.
Karen Lau: Okay.
Todd Adams: And any growth that we would do there would be organic.
Karen Lau: Okay. Got it. Thank you.
Operator: Our next question comes from Samuel Eisner from Goldman Sachs. Please go ahead.
Samuel Eisner: Yeah. Good morning, guys.
Todd Adams: Good morning, Sam.
Samuel Eisner: Just a quick question on the incrementals here. So you know, I recognize you guys had about 45% organic incrementals, 37% at the kind of total line here, obviously, strongest for the year. Just curious what the major drivers of that? Is it absorption? Is it price cost? Maybe walk through the various components of what's driving the incrementals stronger?
Mark Peterson: Sam, this is Mark. If you look at PMC and to lesser degree, water, the SCOFR benefits coming through were the biggest, really anticipate going this quarter, the first time we're fully levering our PMC platform, move to Mexico and we saw read through. So I think the SCOFR benefits will be hands down, the largest driver. When we fill that back out, the incrementals are going to in the range that we would expect for the platforms.
Todd Adams: I mean - Sam, its Todd. It's - we have less fixed cost in the business than what we had two years ago, and we're taking that and leveraging reasonable core growth on top of it. So I wouldn't think about it as absorption. I would just think about it as cost that have gone away that aren't coming back. And so the incremental growth in the margin profile that we talked about, absent any reinvestment, would be better. I think we are saying is that we are going to also do some investment and that's why you wind up with that 35% rate. And so I think this is sort of exactly what we had in our mind's eye when we said we are going to do the Supply Chain Optimization plan a couple of years ago, get it done and also launch, I would say, a pretty significant dose of growth investment back in. And so the quarters would have played out with what in line of what we expect.
Samuel Eisner: And that's helpful. Maybe just a follow-up on the guide here. Assuming I think, Mark, you said low end of the mid-single-digit range, so I don't know, 4% or so type of organic growth for the full year, I think that implies only kind the low 20s incrementals in the fourth quarter for this whole company? So one, does that makes sense to you? And two, are there any - sounds like discrete items, it sounds like corporate expenses a bit higher in that fourth quarter than people would have expected. So just curious, what are the drivers of kind the lower incremental profitability in the applied fourth quarter guide? Thanks.
Mark Peterson: Sure, yes, Samuel, your math is definitely correct. I think in PMC again, you will see a very strong core incremental margin, again. In water, when we start in the range of 25% to 30%, we think we'll be in the lower end of that range in water, given this mix in the fourth quarter and the corporate expenses as I mentioned earlier, will be higher in the fourth quarter. So all those combined together put that incremental margin, the rest level and that's probably we talk about so you think about right.
Samuel Eisner: Thanks, guys.
Mark Peterson: Thank you.
Operator: I will now turn the call back over to Rob McCarthy for closing comments.
Robert McCarthy: I'd like to thank everybody for joining us on the call today. We appreciate your interest in Rexnord and we're looking forward to providing our next update when we report our fiscal year 2018 fourth quarter results in mid-day - sorry, in mid-May. Have a good day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating, and you may now disconnect.